Lois Perkins: Good afternoon, everyone, and thank you for participating in Porch Group's First Quarter 2024 Conference Call. Today, we issued our earnings release and related Form 8-K to the SEC. The press release can be found on our Investor Relations website at ir.porchgroup.com. Joining me here today are Matt Ehrlichman, Porch Group's CEO, Chairman and Founder; Shawn Tabak, Porch Group's CFO; Matthew Neagle, Porch Group's COO; and Efram Ware, President & GM of Homeowners of America, Porch's insurance carrier. Before we go further, I would like to take a moment to review the company's Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995, which provides important cautions regarding forward-looking statements. Today's discussion, including responses to your questions, reflects management's views as of today, May 8, 2024. We do not undertake any obligations to update or revise this information. Additionally, we will make forward-looking statements about our expected future financial or business performance or conditions, business strategy and plans, including the application for the reciprocal exchange based on current expectations and assumptions. These statements are subject to risks and uncertainties, which could cause our actual results to differ materially from these forward-looking statements. We disclaim any obligation to update publicly any forward-looking statements whether in response to new information, future events or otherwise, except as required by applicable law. We encourage you to consider the risk factors and other risks and uncertainties described in our SEC filings, as well as the risk factor information in these slides for additional information, including factors that could cause our results to differ materially from current expectations. We will reference both GAAP and non-GAAP financial measures on today's call. Please refer to today's press release for reconciliations of non-GAAP measures to the most comparable GAAP measures discussed during this earnings call, which are available on our website. The financial information provided today is preliminary, unaudited and subject to revision upon completion of closing and audit processes. As a reminder, this webcast will be available for replay along with the presentation shortly after this call on the company's website at ir.porchgroup.com. I will now turn the call over to Matt Ehrlichman, CEO, Chairman and Founder of Porch Group. Over to you, Matt. 
Matt Ehrlichman: Thanks, Lois. Good afternoon, everybody. Thanks for joining. We're pleased with our business performance in the first quarter and how we're setup for the 2024 year. We've delivered strong operating execution across our businesses and saw year-over-year improvements in more than 30% revenue growth, $5 million adjusted EBITDA improvement and continued best-in-class gross loss and combined ratios versus peers. We're advancing the work across our data platform successfully. We're very pleased with our April 1 reinsurance renewals and are seeing continued progress in price increases with our software businesses, all of which we'll discuss today. With the reinsurance coverage placed and strong execution across our business providing increased confidence in the remainder of 2024, this results in us raising our full year adjusted EBITDA guidance today. And this full year guidance raise is despite the Texas Spring Storm Season starting early this year. A $20 million Texas hailstorm developed in the second half of March and caused Q1 claims from catastrophic weather events to be $8 million worse than we had expected. If it wasn't for this, the year-over-year improvement in adjusted EBITDA would have been even greater. And we're excited because we expect our reinsurance renewals and operating results to more than make this up. Shawn will take you through this shortly. For those new to what we're building Porch is a new kind of homeowners insurance company. What is unique to our strategy is that we power leading software platforms for home inspectors, title agents and loan officers. Maintaining our strong client retention with these companies through ongoing product innovation creates long-term competitive advantages, including valuable introductions to homebuyers and unique insights into properties. At Porch, we're building homeowners insurance company with lower volatility and higher margins. We'll win with our 3 differentiators highlighted here in yellow: advantaged underwriting, the ability to price more accurately than others, being the best insurance partner for homebuyers by being more than just insurance and helping them with their entire move, and providing a whole home protection with various products designed to protect the consumers largest asset, their home. Okay, so our insurance profitability actions continue to improve our performance year-over-year. But as we discussed, the first quarter saw seasonally higher claims related to weather. So in the first quarter, revenue grew 32% to $115 million, revenue less cost of revenue grew 10% to $40 million. This included a 71% gross loss ratio for the quarter, of which approximately half of the claims are from catastrophic weather and the balance from a 33% attritional loss ratio which improved from 40% in the same quarter prior year. We continue to demonstrate our ability to achieve best-in-class loss ratios. Adjusted EBITDA loss was $17 million, a $5 million improvement compared to Q1 2023. The best way to compare the insurance combined ratios is to look at reputable third-party data published annually. Today, we're pleased to share the AM Best report covering 2023 performance. Out of the top 50 U.S. homeowners insurance carriers by direct written premium, we had the fifth best direct combined ratio, and we were the top performer in Texas, our largest state. We again outperformed our peers, which is a testament to our risk strategy and insurance profitability actions, where we were ahead of the market in implementing price increases. We use our unique data and risk modeling to non-renew higher risk policies and roll out other underwriting actions. All of this equates to strong results. I want to provide a few highlights across some of our businesses. First, as I mentioned, our reinsurance placements renewed on April 1, and we are pleased with the favorable terms we negotiated, demonstrating the strength of our underwriting. We secured better terms for our excess of loss reinsurance, which helps protect against significant events. The quota share reinsurance terms were also better than expected, resulting in ceding levels slightly higher than we had anticipated. Overall, it's great news and helps tighten the 2024 revenue guidance range and increase adjusted EBITDA guidance given the clarity and contracts now in place. Next, our software businesses continue to roll out new products and enhancements to maintain our strong client retention. As discussed last quarter, Rynoh successfully rolled out its latest product, RynohVerifi and its corresponding price increase of more than 20%. ISN, our largest inspection software brand, launched more than 20 core feature enhancements last year. This included additional report writer capabilities, a Florida wind mitigation, inspection template, and FlexFund enhancements to allow customers to pay for inspection services at close. As a note, inspectors that use FlexFund typically see increased invoice sizes by 30% plus, as it makes it easier for consumers to purchase more of their services. As a result of the product innovations, ISN increased its transaction fees by approximately 20% and increased monthly minimum fees as well. Next, we received approximately $35 million in cash in the quarter from the Aon business collaboration agreement and the sale of EIG, which we mentioned last quarter. And lastly, we continue to pursue parties in relation to Vesttoo-related claims. We mentioned previously that we had engaged a top-tier contingent fee law firm and we are vigorously enforcing our rights and pursuing damages. Now, over to you, Shawn. 
Shawn Tabak: Thanks, Matt, and good afternoon, everyone. Moving to Slide 11 to get into the financials here. Revenue was $115.4 million in the first quarter of 2024, a 32% increase over the prior year, driven by our Insurance segment, which grew 50%. Revenue less cost of revenue was $39.6 million with a margin of 34% of revenue, which decreased over the prior year primarily driven by faster growth in our Insurance segment compared to our Vertical Software segment. In Vertical Software, the revenue less cost of revenue margin increased by approximately 600 basis points to 82% due to price increases and strong cost control. Adjusted EBITDA loss was $16.8 million, a $5.1 million improvement over the prior year, driven by the insurance profitability actions, which Matthew will discuss in more detail shortly. The quarter included $36 million of net catastrophic weather loss costs, resulting in $8 million of additional cost of revenue for cat weather compared to our expectation. Gross written premium was $83 million, a decrease from the prior year as we reduced risk through non-renewals of higher risk policies in Q1 and after the sale of our in-house agency, EIG, in January any policies purchased by our homeowners, but written by third-party carriers are now excluded from this number. The Insurance segment was 76% of total revenue in the first quarter, an increase from 67% in the first quarter of 2023. Revenue from our Insurance segment was $87.9 million, a 50% increase over the prior year, driven by 33% premium for policy increases and lower reinsurance ceding. Vertical Software revenue was $27.5 million, a slight decline compared to the prior year, driven by moving services and lower demand for corporate relocations and offset by software and service subscription revenue which increased slightly year-over-year. Before we move on to adjusted EBITDA, I'll provide additional color on our Insurance segment cost of revenue and claims. Overall, we have 2 main types of losses arising from insurance claims. The first is attritional losses, which are primarily driven by the home's condition and often predictable perils like fire or water damage. These losses are relatively consistent by quarter and overtime and typically represent approximately half of annual claims. The second type is catastrophic weather which are generally midsize events and most commonly for us severe convection storms which drive wind and hail conditions. Cat losses are seasonal, and the Texas Spring Storm Season is a key contributor. Although timing can vary from month-to-month, overall, cat losses typically averaged in the mid to low 30% range for the year. And when a large and unusual event does occur, excess of loss reinsurance kicks in such as we saw in 2021 with Winter Storm Uri where we were well protected. On this slide, I've split out cost of revenue for our Insurance segment between attritional and other costs and catastrophic weather losses. Cost of revenue for our Insurance segment was $71 million, with $35 million, driven by attritional and other costs, and $36 million driven by catastrophic weather losses, the majority of which came from a $20 million gross Texas hailstorm that realized throughout the second half of March. For Q1, we expected $28 million of cat losses based on historic average and trends. So we had approximately $8 million in additional cost of revenue based on the earlier Texas Spring Storms net of reinsurance. Moving to adjusted EBITDA by segment. Overall adjusted EBITDA loss was $16.8 million. The Insurance segment adjusted EBITDA loss was $2.9 million in the first quarter of 2024, an improvement of $4.3 million compared to the prior year. the Vertical Software adjusted EBITDA was $1.1 million, a $1.5 million improvement over the prior year, driven by price increases in our software and subscriptions businesses. Corporate expenses were $15 million or 13% of total revenue, a 300 basis point improvement over the prior year. Operating cash flow was positive $8 million in the first quarter of 2024 and included the cash we received from the Aon deal of approximately $25 million. As of March 31, 2024, we had $413 million in cash, cash equivalents and investments. Excluding the $301 million at HOA, Porch held $112 million, an increase from $87 million in the prior quarter. In addition and incremental to these totals, Porch Group held $37 million restricted cash and cash equivalents primarily for our captive and warranty businesses. Porch Group also holds a $49 million surplus note from HOA. HOA's surplus at March 31 was $36 million. Consistent with historic norms, surplus declines in Q1 and Q2 with the seasonality trend and grows again in the second half of the year with increased profitability. And lastly, we've been asked about our plans to address the $217 million 2026 unsecured notes. The management team and Board certainly discuss options, of which we have several. But we don't expect to transact on these until sometime in 12 to 24 months. Right now, given the exceptionally low coupon, we are remaining patient. Moving on to guidance. Today, we are pleased to update our full year 2024 outlook, increasing our revenue less cost of revenue and adjusted EBITDA expectations following strong business execution and increased confidence in the full year performance. The terms available in our reinsurance renewals on April 1 resulted in us placing our quota share ceding slightly higher than anticipated. Generally, this lowers revenue, decreases risk and given the terms increases expected profitability. With this reinsurance in place, we are updating revenue guidance and now expect $450 million to $470 million with growth of 5% to 9%. We expect year-over-year revenue growth to be front-end weighted as Q3 2023, in particular, had lower reinsurance ceding and thus higher revenue immediately post the Vesttoo fraud discovery. We are increasing the lower end of our range of expectations for revenue less cost of revenue to $230 million to $240 million. We assume a 63% gross loss ratio for the full year which aligns with our 5-year weighted average. Of course, any cat events exceeding historical experiences are not included in our guidance and would negatively affect the range. Overall, based on our reinsurance renewals and the performance across the business, we are increasing adjusted EBITDA profit guidance to $2.5 million to $12.5 million. And finally, we expect gross written premiums of $460 million to $480 million. We are managing premiums roughly flat on an apples-to-apples basis. As a reminder, the prior year includes EIG, our in-house agency, and going forward third-party carrier written premiums are excluded. Thank you all for your time today. And now, I'll hand over to Matthew to cover our KPIs. 
Matthew Neagle: Thanks, Shawn. Hello, everyone. First, our KPIs. The average number of companies was 30,000 in the first quarter broadly unchanged from prior quarters, average revenue per company per month increased 36% to $1,294 compared to Q1 2023, driven by lower ceding and premium per policy increases.  We had 241,000 monetized services in the quarter, an increase of 12% despite the 3% lower housing market sales. Finally, average revenue per monetized service was $422, up 29% from prior year due to continued growth in insurance. Looking now at our Insurance segment KPIs, as a reminder and as Shawn mentioned, our Insurance segment KPIs include EIG in 2023, which we have since divested. At the end of 2023, EIG had third-party gross written premium of $45 million. Under the new third-party agency partner model, these premiums will no longer be included. So on the KPIs, gross written premium was $83 million from 253,000 policies in force. Per our guidance Shawn just shared, we are looking to manage premium to approximately flat on a full year basis in 2024 before beginning to grow nicely in 2025. 2024 non-renewal actions were concentrated in the early part of this year. Annualized revenue per policy was $1,375, an increase of 125% from the prior year, driven by increases in premium and lower ceding. Focusing now on HOA, our insurance carrier, annualized premium per policy increased 33% to $1,948. Premium retention was 90% lower than prior year, driven by the non-renewals and the other underwriting actions we discussed. Our gross loss ratio was 71% in the first quarter. Our attritional gross loss ratio which excludes losses from catastrophic weather events was 33%, a reduction from 40% in the prior year. As Shawn mentioned earlier, this type of loss is generally consistent quarter-over-quarter. This is where we outperform homeowners insurance peers, which is driven by insurance profitability actions and our ability to assess in price risk effectively. The quarter was impacted by seasonal cat weather, which resulted in an overall current accident year gross loss ratio of 71%. This is still an improvement of 8% from 79% last year. Average claims costs per policy in the first quarter were $360, an increase of 35% compared to our 5-year average of $267. Our gross combined ratio in the first quarter was 97%, an improvement from 107% in the prior year. Digging into our underwriting performance, I'll recap insurance profitability actions, which include the 3Ps. First is product. Effective underwriting is critical to insurance profitability. Leveraging our unique data helps us improve our risk segmentation and evaluation by adding factors such as water heater location, type of pipes, presence of wood flooring, and much more. Second, price. HOA has a history of ensuring we price the profitability. Following the hardening reinsurance markets, inflationary changes and increased catastrophic weather, it was key to adjust rates significantly to ensure we achieve our target margins now and in the future. Over the last couple of years, we have taken significant rate where possible to optimize profitability in each state. Our underwriting team reviews state-level pricing monthly and last quarter we continued the progress here, announcing an 18% increase filing in Texas, which is now effective for both new and renewal policies. Third is portfolio. As indicated by our data and modeling, we have taken action against higher risk policies and those we expect to be unprofitable. As we refine our advantaged underwriting and pricing, we are choosing to reopen certain geographies and grow our portfolio. Thanks, everyone. Now, I'll hand over to Efram. 
Efram Ware: Thanks, Matthew, and hello, everyone. I'm Efram Ware, President and General Manager of Homeowners of America. I've been a leader at HOA for almost 10 years and my background is with large carriers such as Allstate, Safeco and Access Insurance. I have worked in product, operations and underwriting. I work closely with Adam Kornick in leading our insurance business. I led HOA, and Adam led the Insurance segment until his departure after the sale of EIG. Through HOA, we offer property-related insurance products in 22 states. We combine Porch's unique data and HOA's 18 years of claims history to assess property risk, underwrite, and effectively price homeowners insurance policies. We couldn't be prouder of the AM Best data that Matt mentioned earlier. I will share insights into our unique data, which we have labeled Home Factors, and information on the reinsurance renewals we just secured. As a reminder, we are rated A, exceptional by Demotech for our financial stability rating. Slide 24 highlights our advantage when predicting and pricing risk. There are 2 key risk insights that we and many insurance companies use to evaluate and price policies. Personal information such as past claims history, consumer's insurance score, and the number of people in the household, and geographic information such as the ZIP code of the home, distance to coast, the potential wildfire risk, and historical weather patterns in that area. Carriers also consider construction and inflation costs, which can vary geographically. Interior and exterior insights are where we use our unique property data, combined with historical claims information, to provide advantages. With all of these home factors, we have a clearer picture of the risk and can price more accurately. With our data, we have verified insights into a large number of properties. We have so much data that we can then effectively model and predict home factors on virtually all properties across the U.S. For example, if we know the type of piping, roof material and location of the water heater for a particular home. If a similar nearby home was built in the same year by the same builder with high confidence we can create home factors for those other properties, expanding our data advantages exponentially. To date, we have only used verified property insights in our underwriting models. Moving forward, there are opportunities for us to expand our advantages to every property we quote, providing discounts for lower risk policies and surcharges for higher-risk ones. We are still early in the journey, and I'm excited about the year ahead. We have built the data platform between Porch and HOA where we can now create and test a new home factor every few weeks and expect to accelerate our work and evaluate approximately 20 new home factors in 2024, again, with insights and different confidence levels applying to virtually every U.S. property. We anticipate our books mix continuing to trend towards lower risk customers who receive home factor discounts. We are just starting to reopen ZIP codes that we have paused as we managed our premiums of flat year-over-year. Our 2025 expectation is to grow nicely and importantly, to grow profitably. As mentioned previously, we had a successful April 1 reinsurance renewal, placing the right partners for excess of loss also not only as XOL and quota share reinsurance. Reinsurance provides us as a carrier the ability to share risk in exchange for premiums. In return, related to XOL, we realized, one, reduced weather risk and in particular, lowering exposure to the significant catastrophic events; and two, more stable results. While there will be level seasonality at least until the reciprocal exchange is launched, XOL reinsurance minimizes some volatility. And related to quota share reinsurance, we first received a commission, which helps offset expenses, including underwriting, sales and claims-related expenses; secondly, decreased risk by passing a percentage of premiums and losses along to the reinsurer. And lastly, we received surplus support reducing the capital required by the carrier. Even after the reciprocal exchange is launched in Porch Group's results we'll have less exposure to volatility and seasonality, we will continue to manage the reinsurance purchases of the reciprocal to ensure it is well protected and has long-term stability. This year's reinsurance program has a simplified structure and improved year-over-year terms. This is a testament to our industry-leading underwriting results. We now have approximately 50 reinsurers who are A-rated with whom we have long-term relationships. Additionally, our profitability actions have effectively reduced our risk in catastrophe-exposed areas and on other high-risk policies. Probable maximum loss, or PML, is an industry term for the model maximum loss for a given return period. Our model 2024 PML reduced 50% compared to 2022. Under the reinsurance coverage, third-party quota share prospective ceding is approximately 27.5%, which is a little higher than we had anticipated, given the more favorable terms. In addition, we secured better excess of loss coverage at better rates than 2023. Thanks, everyone. I'll hand it over to Matt to wrap up. 
Matt Ehrlichman: Thanks, Efram, and thanks to you and the team for their continued great work and execution. Insurance remains at the center of our strategy. The team is committed to continuous improvement in our underwriting performance, and this will remain our priority in 2024 as we position ourselves for the reciprocal exchange ahead. We expect approval later this year, at which point we'll host an Investor Day to provide more information about the financials and our move towards becoming a less volatile and higher-margin business. Looking into our planned future, after launching the reciprocal, reporting on weather on a quarter-to-quarter basis won't be a focus given claims and losses will be paid by a different entity. It is not owned by Porch. Until then, we'll certainly continue to provide visibility as it's our largest cost item. Efram shared more today on the home factors. We will continue to expand these capabilities across more insights in states and build on its positive impact on our underwriting. It's early days, but there will be ways to monetize home factors in states where we do not write policies ourselves. We remain focused on profitability and achieving our full year adjusted EBITDA profitable target. This will be a key milestone, and we are well-positioned to deliver. With that, we'll wrap the prepared remarks and pass the call to the operator. Rob, please go ahead and open the call for Q&A. 
Operator: [Operator Instructions] Our first question comes from the line of John Campbell from Stephens. 
Jonathan Bass: This is Jonathan Bass on for John Campbell. So obviously, you guys raised the pricing with Rynoh and ISN in the first part of the year. Can you guys maybe dig in on how you think about pulling the pricing lever for your software businesses? And do you guys see more pricing opportunities elsewhere in the software offerings? 
Matthew Neagle: Yes, I can take that. The first thing I'll say is that what we're focused on is delivering value to our software customers. And we feel when we can deliver value, we have the opportunity to get price increases. And so we've been very focused on the velocity of our product innovation and have been able to do a number of price increases over the last year or so across our different businesses. The other thing that I'll share is that as we have done that, our retention has remained very stable. And we do see some opportunity going forward. In the last earnings release, we shared a little bit about the product road map of Rynoh and how we see additional rollouts of products that we think could merit price increases and help really drive the profitability of that business. And the last thing that I'll just share on that is, because of the price increases and cost controls and product innovation, our software businesses have been relatively stable from a revenue perspective, even though there's been pretty significant market declines, both in the number of transactions and the number of providers. And so that makes us very optimistic about how those businesses are positioned as the market recovers. 
Matt Ehrlichman: And I'll just add just because for folks that weren't on the call last quarter, like Matthew was noting, we did do -- provide a deep dive on one of our core software businesses, Rynoh. This year, even when a depressed housing market, Rynoh is expected to do around $8 million of adjusted EBITDA. So it's a nice high-margin business for us. But to your question, there is a multiyear road map of additional major products that we're going to be launching across each of these core software businesses and we'll couple price increases with those. And so between just the transaction volume coming even somewhere close to what it's been in the past, along with those price increases, we talked last quarter about how we'd expect in 2028 Rynoh to go from $8 million in EBITDA now to about $35 million in EBITDA at that point. So it's going to be a fun multiyear run, we expect ahead with the tailwinds we have. 
Operator: Your next question comes from the line of Ryan Tomasello from KBW. 
Ryan Tomasello: Just diving back into some of the deep dive on HOA. You talked about the different levers you pulled to improve underwriting between unique data and price increases and de-risking the higher risk policies. Curious if you're able to really parse out how much of the benefit in underwriting you're actually getting on the data side. If there's any quantification of that from a gross loss ratio perspective, just to be helpful to frame how impactful that's been to date? 
Matt Ehrlichman: Yes. I would say we've not provided a specific breakout although we have provided some of the feedback, Ryan, as I'm sure you kind of track on the different tests. So how the impacts to kind of risk accuracy prediction, impact to a metric and a tracker called Gini coefficient kind of measures the accuracy of our pricing. And we've mentioned it's significant in terms of what our proprietary data has. It is, of course, mixed into all the other underwriting actions that we're taking: pricing, deductibles, non-renewals, like you mentioned. And there's not one of those that is the dominant driver of the results that we're seeing. We do believe long-term, especially just given how, in our view, early we are in using our proprietary data, that is going to continue to make a bigger and bigger impact. For us, it's fun to look at because we can see multiple years ahead of just continuing to be able to use more of that data and building it into rate filings and furthering the advantage we have there. Last comment is, I do expect and we've talked internally, Ryan. At some point, we will be having in our backlog to do a deep dive in one of these calls around the data specifically. And so I would say more to come, certainly on that as we go. 
Matthew Neagle: Ryan, the one additional thing I would just highlight is there are different ways we can take advantage of that. So one way could be by underwriting lower risk and driving a better gross loss ratio. The other way is by offering a lower price and taking more market share and supporting our growth. And so there will be different ways we take advantage of that, that we can show a bit differently in our numbers. 
Ryan Tomasello: And just 2 more follow-ups on the insurance side. Carriers broadly have obviously begun to reopen additional markets and get back into growth mode here as profitability gets back into shape. Are you seeing any impacts in your core market just from a competitive standpoint? And then in terms of HOA's surplus position, I think you said $37 million. Do you feel like that's in a strong enough place to efficiently get the reciprocal transaction done at this stage? And in general, how does HOA surplus position play into the timing of the reciprocal and just how that is being evaluated from the regulators? 
Matt Ehrlichman: Efram, why don't you take what you're seeing on the first question, just growth and what we're seeing from other carriers and I can take the second one with the reciprocal? 
Efram Ware: Sure. Thanks for the question. We are -- like many others have done a lot of work for -- towards profitability, both with underwriting and deductible work, as Matt mentioned earlier, as well as pricing. Given all that work, Ryan, we are in a position where we can evaluate and reopen in very specific geographies. Competition in our states is always entering, coming and going. But given that we're the 11th largest carrier in the state of Texas as a prime example, we still have a relatively small market share, hovering around a little bit over 2%. So just in our home state, we still have plenty of room to grow, despite the competition. And we continue to look at other geographies where we can reopen and grow our business. 
Matt Ehrlichman: In terms of the reciprocal, I'd say, yes, Ryan, we're on track with where we would anticipate being from a surplus. As we noted, surplus does generally go down first and second quarter and then goes up meaningfully in the third and fourth quarter, and that's what we would expect this year. We've -- through this whole process over the last year, we've built a strong relationship with the TDI. They understand our business well. We provided them all of the forecast. And so I think we're in a good spot in terms of executing on our plans here for later this year. 
Operator: [Operator Instructions] Your next question comes from the line of Mark Schappel from Loop Capital Markets. 
Mark Schappel: Matt, I was wondering if you could walk through some of the puts and takes in your Vertical Software business this quarter, specifically with respect to the products in that segment that are doing well and maybe the ones that are struggling a little bit. 
Matthew Neagle: Sure. I can take the first cut at that. We have shared kind of how we're currently seeing the market. Overall, we're assuming the market is flat for this year. But if you look historically, the number of transactions have dropped over 30%, the number of mortgage loan officers has dropped over 40%. But our businesses has held up fairly well despite pretty significant declines in transactions and providers. We're very excited about some of the products that we talked about last quarter with our Rynoh software, which provides now a suite of solutions to title companies and is really becoming the platform for title companies to automate many parts of their business. And so we recently launched RynohVerifi, which automatically ensures that when you are processing payment as part of the title closing that the identity of that recipient is the right identity. Within our inspection space, we have a whole platform of software and services to power the entire business. We were excited to launch a new report writer under the ISN brand, which is sort of the first piece of software that you need as an inspector to help us better target all parts of the journey as an inspector owning a business. And we actually had a variety of launches, in fact, over 20 of the top requested features we were able to get out in the last 3 to 6 months. And then we're uniquely positioned there with Floify in loan officer space, especially with some of the competitive -- one of our competitors was acquired and it's created an opportunity for us in the marketplace. All of these things, though, I think, position us extremely well for when the market comes back and there's more transactions and more providers who are coming back into the space or at least ramping up their business. 
Mark Schappel: Great. And then I wonder if you could just give us a quick update on maybe the uptake rate you're seeing with the Porch Concierge app. 
Matt Ehrlichman: Yes. We've not provided any specific metrics recently. But again, it's a possible deep dive in the future. But I would say it continues to go well. So across our software businesses, we continue to execute on the strategy, get access and introduced to more homebuyers, and we continue to work with those homebuyers to help them with a variety of services. Some of the things that I have been excited about, for example, our moving services business certainly has been under pressure just as the market has retracted over the last couple of years, but they've really used that time to be able to build out a new local full service offering that is a really great product for consumers that we really didn't have before we really focused on labor-only moves. So that's something we're now able to bring into these consumers to help add another product to those customers. Obviously, insurance and warranty continue to be our focuses with consumers, and we're seeing, obviously, very good growth in those 2 areas. 
Operator: There are no further phone questions at this time. I will now pass it over to Lois for any written web questions. 
Lois Perkins: Thanks, Rob. First question we have is, what will build momentum in HOA over the next year? 
Efram Ware: Sure. Thank you for the question. 2 of the things that I'm really excited about are: one, the work that we're doing with home factors. We truly believe and expect that, that will continue to be an advantage and as we build upon that competitive advantage. The team is digging in. We have made great progress. And as we mentioned in the prepared remarks, we've got -- or expecting to have 20 additional home factors this year to add to our pricing and segmentation through modeling. The second is the reciprocal exchange. I do believe it is the right business model for us. It will relieve some of the volatility that we see as an insurance carrier. So I'm excited about both of those 2 opportunities. And personally for me is really just executing on both of those focus areas. 
Lois Perkins: Thanks, Efram. That's one of the written questions we have. 
Matt Ehrlichman: Perfect. Then I'll just conclude, which I'll just say thanks to everybody for joining. We do look forward to updating you on our progress as we move towards full year profitability, a big milestone for the company and toward approval of the reciprocal exchange, another milestone. We certainly appreciate the continued support. Look forward to speaking to you guys again in our Q2 earnings call in August. Until then, take care.